Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Fourth Quarter Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. And as a reminder, this call is being recorded. I'd now like to turn the conference over to Mark DeRussy, Vice President of Finance. Please go ahead.
Mark DeRussy - Vice President, Finance: Thank you. And good morning, and thank you for joining us for SBA's fourth quarter 2014 earnings conference call. Here with me today are Jeff Stoops, our President and Chief Executive Officer; and Brendan Cavanagh, our Chief Financial Officer. Some of the information we will discuss on this call is forward looking, including, but not limited to any guidance for 2015 and beyond. These forward-looking statements may be affected by the risks and uncertainties in our business. Everything we say here today is qualified in its entirety by cautionary statements and risk factors set forth in last night's press release as well as our SEC filings, which documents are publicly available. These factors and others have affected historical results, may affect future results and may cause future results to differ materially from those expressed in any forward-looking statement we may make. Our statements are as of today, February 27, 2015, and we have no obligation to update any forward-looking statement we may make. Our comments will include non-GAAP financial measures as defined by Regulation G. The reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures and other information required by Regulation G has been posted on our website, sbasite.com. With that, I'll turn the call over to Brendan to comment on our fourth quarter results.
Brendan T. Cavanagh - Chief Financial Officer & Senior Vice President: Thank you, Mark. Good morning. As you saw from our press release last night, we had another very strong quarter in all areas. We exceeded the high end of our guidance for leasing revenue, tower cash flow, adjusted EBITDA and AFFO. GAAP site leasing revenues for the fourth quarter were $361.4 million or a 23.6% increase over the fourth quarter of 2013. Domestic cash site leasing revenue increased 16.1% to $295.4 million, and international cash site leasing revenue increased 123.1% to $51.8 million. Our leasing revenue growth was driven by organic growth and portfolio growth, including our three recent acquisitions in Brazil. iDEN-related churn during the quarter had a negative impact of $1.4 million. We continue to experience solid leasing demand, both domestically and internationally. Just over half of our incremental leasing activity in the quarter came from new leases. The big four U.S. carriers contributed approximately 75% of our consolidated incremental leasing revenue signed up in the quarter. Tower cash flow for the fourth quarter of 2014 was $277.9 million or a 27.7% increase over the year-earlier period. Tower cash flow margin was 80% compared to 78.3% in the year-earlier period. Our services revenues were $43.3 million compared to $42.9 million in the year-earlier period. Services segment operating profit was $9.6 million in the fourth quarter compared to $9.2 million in the fourth quarter of 2013. Services segment operating profit margin was 22.1% compared to 21.4% in the year-earlier period. SG&A expenses for the fourth quarter were $26.6 million, including non-cash compensation charges of $5.3 million. SG&A expenses were $21.7 million in the year-earlier period, including non-cash compensation charges of $4.1 million. Increases were primarily attributable to increases in employee-related costs and specifically to head count increases in Brazil. Adjusted EBITDA was $266.7 million or an increase of 27.4% over the year-earlier period. Adjusted EBITDA margin was 68.3% in the fourth quarter of 2014 compared to 65.3% in the year-earlier period. Approximately 96% of our total adjusted EBITDA is attributable to our tower leasing business. AFFO increased 30.5% to $181.5 million compared to $139.1 million in the fourth quarter of 2013. AFFO per share increased 29.9% to $1.39 compared to $1.07 in the fourth quarter of 2013. Combined changes in the Brazilian and Canadian exchange rates during the fourth quarter versus the rates assumed in our guidance negatively impacted leasing revenue by $1 million and adjusted EBITDA and AFFO by approximately $500,000 each. Net come during the fourth quarter was $390,000 compared to a net loss of $19.2 million in the year-earlier period. Net income per share for the fourth quarter of 2014 was $0.00 per share compared to net loss of $0.15 per share in the year-earlier period. Quarter-end shares outstanding were 129.1 million. In the fourth quarter, we acquired 1,703 sites for $520.5 million in cash, including 1,641 communication sites acquired from Oi in Brazil on December 1. SBA also built 175 sites during the fourth quarter. We ended the quarter with 24,292 sites. 15,124 of these sites are in the U.S. and its territories, and 9,168 are in international markets. Total cash capital expenditures for the fourth quarter of 2014 were $616.4 million, consisting of $7.2 million of non-discretionary cash capital expenditures, such as tower maintenance and general corporate CapEx, and $609.2 million of discretionary cash capital expenditures. Discretionary cash CapEx for the fourth quarter includes $520.5 million incurred in connection with tower acquisitions, excluding working capital adjustments. Discretionary cash CapEx also included $34.3 million in new tower construction, including construction in progress, and $30.1 million for gross augmentations and tower upgrades. The substantial majority of augmentation CapEx is reimbursed to us by our customers. With respect to the land underneath our towers, we spent an aggregate of $19.9 million to buy land and easements and to extend ground lease terms. Our investments in land are both strategically beneficial and almost always immediately accretive. At the end of the quarter, we owned or controlled for more than 20 years the land underneath approximately 73% of all of our towers and 74% of our domestic towers. At the end of the quarter, the average remaining life under our ground leases, including renewal options under our control, is approximately 33 years. At this point, I will turn things over to Mark, who will provide an update on our liquidity position and balance sheet.
Mark DeRussy - Vice President, Finance: Thanks, Brendan. SBA ended the quarter with $7.9 billion of total debt. We had cash and cash equivalents, short-term restricted cash and short-term investments of $98 million. Our net debt-to-annualized adjusted EBITDA leverage ratio was 7.3 times. Our fourth quarter net cash interest coverage ratio of adjusted EBITDA to net cash interest expense was 3.5 times. On October 1, we settled the remaining outstanding principal of our 4% convertible notes for $360 million in cash and 8.7 million shares of common stock. The settlement was neutral to our share count as the stock portion of the transaction was fully hedged. Also during the quarter, we paid $282 million to early settle warrants, representing approximately $4.2 million underlying shares of stock, which were originally sold in connection with the issuance of the 4% notes. Subsequent to the fourth quarter, we settled additional warrants representing 1.2 million shares for $82.7 million. Pro forma for these settlements and based on the recent stock prices, our warrant liability consists of approximately 900,000 underlying shares with a value today of approximately $68 million. We expect to sell the remaining warrants in cash on or by April 2 of 2015. On October 15, we issued two tranches of Secured Tower Revenue Securities through our existing SBA Tower Trust, generating a total of $1.54 billion in gross proceeds. The offering had a weighted average coupon of 3.29% and a weighted average anticipated maturity of seven years. Net proceeds from the offering were used to repay in full $680 million of outstanding Secured Tower Revenue Securities and to repay the $300 million outstanding balance under our revolver, which had been drawn to partially fund the October 1 settlement of our 4% notes, as well as for general corporate purposes including acquisitions and the settlement of warrants. In February of this year, we amended our revolver by increasing the size of the facility from $770 million to $1 billion and by extending the maturity date to February 2020. We also reduced the interest spread by between 37.5 basis points and 50 basis points, depending upon the borrower leverage. We currently have $175 million outstanding under the revolver. And based on specified covenants, we have available to us today $825 million. At the end of the fourth quarter, our total debt carried a weighted average coupon of 3.9% and had a weighted average maturity of approximately 5.5 years. We did not purchase any shares of stock during the quarter and currently have $150 million remaining under our existing $300 million authorization. With that, I'll turn the call over to Jeff.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Thanks, Mark, and good morning, everyone. As you have heard, we ended the year with great results, exceeding the high end of our guidance across almost all key financial metrics. Once again, we led our industry in many important growth metrics. Our organic leasing activity, which was particularly strong throughout 2014 and materially ahead of our initial expectations, was once again the primary reason for our outperformance. We continue to see strong demand across our entire portfolio, both domestic and international, as well as in our services segment. We expect to benefit from continued solid levels of activity for years to come, as carriers seek additional network capacity as consumer use marches ever higher. Projections of consumer use of wireless data remain robust. In Cisco's most recent wireless usage forecasts, global mobile data traffic is expected to increase almost 10-fold from 2014 to 2019, with nearly 75% of all the traffic in 2019 coming from video. This type of growth in usage and the capacity required for quality video transmission require constant attention to the network from our customers. Over the years, this type of demand and the resulting answers whether new spectrum auctions, densification or movements to next-generation technology have caused a continuous need for network investment by our customers. These dynamics are at play in both our domestic and international markets. Most recent event, the AWS-3 spectrum auction highlights the value of network capacity in the wireless industry and again elongates the future network investment period in the United States. Record amounts were raised for AWS-3 spectrum, which now must be deployed to earn a return for the winning participants and to comply with deployment requirements. The amounts raised could also fully fund the planned Public Safety network in the U.S. These revenue opportunities for SBA from the AWS-3 spectrum auction alone should last for years, once deployment has begun, which we expect sometime in 2016. After that is the planned 600-megahertz auction, which we think will bring similar opportunities to SBA. The need for and the catalysts behind additional network investment continue on, and we see no end in sight. In the fourth quarter, we once again experienced strong leasing demand across our entire portfolio, both domestic and international. Same tower cash leasing revenue growth compared to the year-ago prior period was 13.2% on a gross constant currency basis and 10.8% on a net-of-churn basis, including iDEN-related churn. The U.S. led on a gross basis, followed closely by Brazil. On a net currency control basis, Brazil led the company because there was no churn to speak of. We attribute our leasing success to a combination of quality assets, strong execution, good contracts and excellent demand from our customers. In the fourth quarter, in the U.S., we executed high numbers of both new tenant leases and amendments. For the first time in many quarters, revenue from new leases was greater than that from amendments and represented slightly above 50% of incremental leasing revenue in the U.S. This change in mix reflects both different priorities and different levels of activity among our customers. AT&T and Verizon represent once again the substantial majority of our new business in the quarter but less on a percentage basis than they have in prior quarters. We continue to have contributions from Sprint due to its Network Vision project and now also from the 2.5 gig project. T-Mobile seems to be increasing its level of activity on its 4G upgrade as well as on its LTE modernization project. Our backlogs continue to be healthy. We continue to see strong activity in our international markets. Leasing activity is mostly new leases, but there is a growing amount of amendment activity. Just over 50% of the total incremental international leasing revenue added in the quarter came from new leases. International cash leasing revenue and tower cash flow growth grew materially year-over-year, once again primarily due to portfolio growth. International tower cash flow margins were strong, although slightly below year-earlier margins, due to the two Oi acquisitions we closed last year. GAAP requires us to mark up our revenue and expenses by the amount of ground lease expenses reimbursed to us by our customers, so the to the true economic cash flow margins in Brazil are much higher. The second Oi closing of the year occurred as planned on December 1, and we ended the year with almost 7,000 towers in Brazil, making us the second largest tower company in that market. I continue to be pleased with the progress we are making in Brazil and look forward to continuing our positive momentum. While we are disappointed with the negative movement of the Brazilian real against the U.S. dollar and the impact on our 2015 outlook, we remain convinced that Brazil will be an excellent long-term investment. Demographic trends, smartphone sales, network needs, new spectrum and the competitive carrier dynamic all lead us to continue to believe that Brazil will be a growth market for network investment for many years to come. This year we expect to build materially more towers in Brazil, funded from cash flows generated in Brazilian reals, without the need for any more investment of U.S. dollars. We don't see at this time anywhere near the size of the acquisition opportunities in Brazil in 2015 as we saw in 2014, but we do believe there will be a number of smaller acquisition opportunities that we will certainly evaluate. Our services segment produced another quarter of strong results for us in the fourth quarter, once again with the primary contributors being Sprint and T-Mobile, as well as increased activity levels with Verizon. We expect another solid services segment contribution through all of 2015. Our operational performance across the entire company was very strong in the fourth quarter. Strong tower cash flow and services margins drove our adjusted EBITDA margin to an industry-leading 68.3%, almost 300 basis points above the year-ago margin. We think to have produced that level of margin while growing materially internationally and increasing SG&A expense and manage that international growth is a real accomplishment. The strong adjusted EBITDA results we had in the fourth quarter drove our equally strong AFFO and AFFO per-share results, the latter of which, once again, materially led our industry. Our updated 2015 outlook reflects the same views on carrier activity, organic growth rates and services as we put forth in November, increased for some additional investment in portfolio growth but decreased to a greater extent from unfavorable changes in the Brazilian real to U.S. dollar exchange rate. Our 2015 outlook still contemplates between 9% and 10% same tower cash revenue growth on a constant currency basis before iDEN terminations. We have included no material contribution in 2015 from Dish, Public Safety or any other customer that was not reasonably active in 2014. Our balance sheet remains in great shape and additional capital, if needed, remains readily available. We recently increased our revolver to $1 billion and renewed its term for another five years. We intend to continue our balance sheet strategy and leverage targets, as we believe them to contribute materially to shareholder value creation. Over much of the last year, we directed most of our investment capacity to settling the outstanding warrants for cash, which resulted in no share count dilution. With that settlement almost fully behind us, we look forward to turning future investment capacity back toward portfolio growth and share repurchases, which we expect will have a much more positive impact on AFFO per share. With respect to portfolio growth, we will look both domestically and internationally and believe that we will continue to find attractive opportunities that will meet our investment requirements. We are reaffirming our goal of 5% to 10% portfolio growth in 2015, while maintaining our target leverage levels. Over 2% of that growth would come from expected new builds and the rest from acquisitions, of which we have almost another 2% purchased or under contract year to date. Our updated 2015 guidance reflects lower percentage of portfolio growth that includes only those acquisitions we have under contract today. If we are successful in consummating some additional acquisitions, I would expect our 2015 outlook to increase. Before we open it up for questions, I want to recognize the contributions of our employees and our customers to our success. Our customers are and we think will remain extremely busy with expanding their wireless networks. As a result, our employees are working really hard to achieve the goals of our customers. Our employees do a great job; our customers recognize that; and as a result, we are a preferred provider for our customers network needs. We look forward to continued success as we move through 2015. Linda, at this time, we're ready for questions.
Operator: And we'll begin with the line of Jonathan Schildkraut with Evercore. Please go ahead.
Jonathan Schildkraut - Evercore ISI: Great. Good morning, and thank you for taking the questions. I guess, two if I may. First, I thought the organic growth information was very helpful in sort of analyzing the company. But given that you had some sort of late-year acquisitions, particularly, I guess the second tranche of Oi towers, I was wondering if you'd give us perspective of like what the constant currency numbers might look like as we think about sort of site leasing expectations for 2015 EBITDA and maybe AFFO? And then the second question is, you've mentioned continuing to invest and maintaining your leverage targets. And I'm wondering if you had a sense that you could share with us as to what sort of investable capacity you have to put to work in 2015? And in that regard, is there any tonal change around the balance of portfolio acquisition and share buybacks as we look into this year? Thanks.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. Let me address the constant currency. I think Jonathan – well, let me make sure I understand what you're looking for. But our guidance for 2015 assumes on a constant currency basis, before iDEN churn, 9% to 10% same-tower cash flow revenue growth.
Jonathan Schildkraut - Evercore ISI: Got it.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Were you looking for something different than that?
Jonathan Schildkraut - Evercore ISI: I guess I was looking for – yeah, something a little bit different, just because there were some late year acquisitions. So the growth number could be moved up or down, based on sort of the timing of how Brazilian cash flows came into the business in the year. But I can follow up offline.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: That latter acquisition only contributed a month's worth of results, and we knew that when we gave our November guidance. So we haven't really seen any change in our expectations around the cash flows there. And really, the movement is all around changes in the real exchange rate.
Jonathan Schildkraut - Evercore ISI: All right. Thank you.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Okay. On the leverage targets, we continue to be very, very comfortable and believe that 7 turns to 7.5 turns net debt leverage is the right place for us to be, particularly in this growth and interest rate environment. Our capacity is going to be around $1 billion of spendable money, maybe a little bit less or a little bit more, depending on what we buy with that and what the EBITDA contribution would be. And in terms of share repurchases, I think the odds are ticking up somewhat that we do share repurchases compared to portfolio growth, only because we do want to stay capitalized the way I've discussed. There are fewer investment opportunities in the U.S. We're going to continue to be very selective around our international growth. And I believe the fallout of all that is there will probably be a greater chance of some additional capacity being left for share repurchases.
Jonathan Schildkraut - Evercore ISI: Great. Jeff, and in terms of the some of the portfolio acquisitions, in the past, you guys have talked about maybe a theoretical maximum of foreign exposure. Is there still a number out there that we should think about in terms of the balance of domestic and international investments?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. We haven't changed that since – I think we gave that out two calls ago, and that was 25% to 30% of revenue would be kind of the limits as we see them today on what we would be targeting for non-U.S. denominated revenues.
Jonathan Schildkraut - Evercore ISI: Thank you for taking the questions.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Sure.
Operator: Thank you. Next we'll go to the line of Ric Prentiss with Raymond James. Please go ahead.
Ric H. Prentiss - Raymond James & Associates, Inc.: Thanks. Good morning, guys.
Brendan T. Cavanagh - Chief Financial Officer & Senior Vice President: Good morning.
Ric H. Prentiss - Raymond James & Associates, Inc.: Couple questions. One of your competitor calls recently, we talked about international growth rates. And it came up, the point about auditing and backfilling and going and looking at some of the carrier transactions, really, in particular. A lot of times, they don't always know what's on their towers. How completely have you guys looked over the different carrier portfolios you've bought internationally? And where are you at in that process at looking at the revenue streams?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: We are still working on the Brazilian acquisitions, Rick, and will be throughout the rest of 2015. And I would agree with that comment that there are opportunities where you will find revenue in some of these situations. And we have actually been the beneficiary of that already.
Ric H. Prentiss - Raymond James & Associates, Inc.: Right. Okay. And so that's a process that you're still doing even on the earlier tranches let alone the one that just closed in December.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yes.
Ric H. Prentiss - Raymond James & Associates, Inc.: Also the market, obviously, was quite active this week. What are your thoughts when you talk about what your investment capacity is? When you look at leverage and look at mando converts, is that something that's interesting to you? How do you think about that being a debt or equity quasi instrument?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Well, I haven't thought about it a lot because we don't need to think about it today. I mean if we had a transaction that would take our leverage on a purely debt financed basis above where we wanted to be, which kind of would be a number that we'd be able to get back to our targets within a year. So say, for sake of argument, it's 8.5. And anything above that, we would consider equity, just as we have in many of our past deals. And from what I can tell, the mandatory convert instrument, I know it's been used by both Crown and American, it looks okay.
Ric H. Prentiss - Raymond James & Associates, Inc.: And the last question. You mentioned I think briefly that FirstNet might be something you could see in 2016. What is the process there? Does anybody have their hands on the wheel there at FirstNet? I know they've got a bunch of money in the bank, but what gives you comfort that there might actually be some activity that start in the towers in 2016?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Well, I'm not sure. I hope I didn't convey huge certainty around that. There's definitely the money there. I do think they have some personnel and management and direction issues yet to be worked out. I believe that it continues to be a priority of the current administration to move this forward. So with the money now raised, that's one big stepping stone behind us. But it could happen in 2016. I don't want you to misread my – I don't have any secrets that tell me that it's definitely going to be 2016, other than it looks like the money's now in the bank.
Ric H. Prentiss - Raymond James & Associates, Inc.: Great. Well – and congrats on getting the warrants almost settled. I know that's been a long issue. Good to have that behind you?
Mark DeRussy - Vice President, Finance: Yes, it is. Thanks.
Operator: All right. Next, we'll go to the line of Phil Cusick with JPMorgan. Please go ahead.
Philip A. Cusick - JPMorgan Securities LLC: Hey, guys. Thanks. Can you talk about the guidance a little bit and what's going on in the U.S.? Lot of strength in the fourth quarter, and it doesn't seem like there was a lot of sort of one-time stuff. So where's that coming from? And there has been a little bit of, I would say, not consistent between some of your compatriots about what AT&T's doing. Are they sort of on, off year-over-year? Can you give us a little bit more visibility into what you're seeing there? Thanks.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. The strong fourth quarter print, Phil, really was driven by the operational activity that preceded it in the second quarter and third quarters. You sign things up; takes a little bit of time before revenue begins to be recognized. So what you saw there was the result of tremendous activity in the year prior to that. AT&T has slowed now, and they slowed down beginning in the fourth quarter. That is the primary reason why we saw the shift in amendments, from amendments to leasing. At least from our perspective, I would agree, with the comments from one of our peers that echoed that, they continue to be off. They're doing things, for sure, but they're off the pace that they were in the first half of last year. And we'll see how that goes the rest of the year. But that slowdown was well known to us at the time we gave our prior guidance, and there's not much that has changed on that front.
Philip A. Cusick - JPMorgan Securities LLC: Okay. And then one more, if I can. Talk about small cells; you've gotten more constructive on this over the last couple years. If you had an opportunity to increase your stake in a small cell player, can you help us think about that? Thanks.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. I do have an improving view of small cells. Clearly, the last couple years and current times has demonstrated that it is going to be a permanent part of network architecture going forward. So the volume levels look like they will be there to create constructive business around. We like ExteNet a lot. They're good guys. We think they do very well. And if we had an opportunity to increase our position there, we would certainly consider it.
Philip A. Cusick - JPMorgan Securities LLC: Okay. Thanks, guys.
Operator: All right. Next, we will go to the line of Brett Feldman with Goldman Sachs. Please go ahead.
Brett Joseph Feldman - Goldman Sachs & Co.: Thanks. And maybe I'll just follow up on the comment about small cells ExteNet. You said you liked the business a lot; it's sort of growing on you. As an owner in that business, do you feel like you've seen enough of the economics to determine whether it potentially can be as attractive as tower leasing economics over the long term? And then, just, I'm curious your thoughts on the FCC's decision yesterday. I'm particularly interested in whether you actually think Title II could affect tower operators in a direct way; not in terms of what your customers do, but whether there is an obligation that would be attached to you?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. I think on the ExteNet questions, Brett, we are seeing more and more and more evidence over time, given the length of our involvement there. And we do believe that if well executed and well priced that there are projects and networks in that business that can perform to the tower model, which is why we continue to be constructive around that. But the keys are execution and pricing. On the net neutrality thing, I don't really see or think – and no one has suggested that the tower operators are going to have any obligations that come out of this new net neutrality ruling. And if you've got some insight otherwise, let me know. But I don't see it and don't believe that, that will be the case.
Brett Joseph Feldman - Goldman Sachs & Co.: I don't have any insight on that, so it's good to hear your point of view. But thanks for taking the question.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Sure.
Operator: Great. And next we will go to the line of Michael Bowen with Pacific Crest. Please go ahead.
Michael G. Bowen - Pacific Crest Securities LLC: Okay. Thanks for taking the questions. I'm sorry if I missed this, but I wanted to just get a little clarification. I think you had talked about earlier your expectations for 9% to 10% same-tower cash flow growth, ex- iDEN. You've also mentioned in the past, I think you said you were looking for 7% to 8% whole company core organic revenue growth. Can you just clarify which you were talking about; and if so, update either one or both of those figures for us? Thanks.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. The 9% to 10% was pre-iDEN constant currency. So now from that 9% to 10%, you need to deduct for iDEN and you need to deduct for the changes in the currency that we experienced from one set of guidance to the next. Brendan, do you want to walk to try to walk...
Brendan T. Cavanagh - Chief Financial Officer & Senior Vice President: Yeah. So previously, it was 7% to 8%. I mean essentially, that number today, Michael, is 6% to 7%. And that's completely attributable to the changes in the FX rate. So essentially, now you have growth of 6% to 7%, which is the all-in number. It's affected approximately 2% for FX and approximately 1% for iDEN churn. That's the bridge between 6% to 7% and 9% to 10%.
Michael G. Bowen - Pacific Crest Securities LLC: Okay. Great. And then I guess just one follow-up on the last question with regard to net neutrality. Now with the FCC stating that Title II is going to apply to mobile broadband. I mean have you had any conversations with carriers with regard to – particularly AT&T and Verizon, I mean it's widely expected they're going to file lawsuits. And whether that could impact perhaps any timing with regard to some of their build-outs? Because we've heard a lot of rhetoric coming out of them. And I was just curious if you've had any conversations with them that you could share with us.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. Yeah. We have not.
Michael G. Bowen - Pacific Crest Securities LLC: Okay. Thanks, guys.
Operator: All right. Next, we will go to the line of David Barden with Bank of America. Please go ahead.
David W. Barden - Bank of America Merrill Lynch: Hey, guys. Thanks for taking the questions. Maybe just a couple, if I could. First, just Brendan on the guidance, again – sorry. If I kind of look at the result for site leasing revenue versus the midpoint of the prior guidance, you beat by about $7 million. If I annualize that, I would get $28 million. And net of the $26 million of forex guidance headwind, it seems like the guidance probably still should have gone up. So if you could talk about why that didn't happen. The second question would be just maybe, Jeff, on your comments about the focus in international markets, your selectivity in international markets. Are you making the argument that maybe the prices are moving higher and it's getting more competitive, or there just aren't enough deals out there to do? And then the last thing, if I could, real quick, back to Brendan, would be, you guys have articulated that the way you guide for iDEN is to assume the worst possible scenario, the most revenue going away the soonest it can go away. Could you talk about what your experience was last year relative to that expectation, generally? Thank you.
Brendan T. Cavanagh - Chief Financial Officer & Senior Vice President: Sure. So, David, on your first question about the Q4 beat and how that carries over. We did have a good Q4 that was ahead of what we expected. A lot of that, though, was really about the timing of when those leases were commencing. You heard Jeff mention earlier that a lot of the performance in Q4 was due to what happened in the earlier quarters. That's true. But what we benefited from against our projections was that a number of those leases and amendments started earlier than we had anticipated when setting guidance. So while we did outperform and those are recurring items, those are items that we expected to ultimately kick in anyway. And so you don't necessarily get the full benefit of that carrying over and extrapolated out to the rest of the year. And maybe I'll answer the second one for me before Jeff jumps in on the iDEN piece. We basically ended up about $1 million for the full year better than what we had assumed at the beginning of the year, based on timing of when those leases would terminate. We had essentially the same number of leases terminate that we expected; just the dollar values of those were on average less than what we had projected going into the year. But it was approximately a $1 million benefit throughout the full 2014.
David W. Barden - Bank of America Merrill Lynch: Thanks.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. On the international front, David, there's plenty of opportunities. But we're going to continue to focus on what has been our primary area of focus, which is South America and some of the countries down there that we are not in today. And really, what I mean, we're going to continue to be very, very selective because we have at our disposal the luxury of always turning our capital to stock repurchases, which we know will be a positive result over time. And we have to just measure that. We've done that over the years. It's always seemed to have come out more in favor of portfolio growth. It may continue to come out more in favor of portfolio growth, but the options that we have cause us to really ponder it carefully.
David W. Barden - Bank of America Merrill Lynch: Got it. All right. Appreciate it, guys. Thanks.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Sure.
Operator: Next, we will go to the line of Simon Flannery with Morgan Stanley. Please go ahead.
Armintas Sinkevicius - Morgan Stanley & Co. LLC: Good morning. This is Armintas for Simon. I just wanted to touch on the acquisitions that you plan to close in the second quarter for about $266 million. So if you have $1 billion of capacity, is this something that we should be looking for, just a number of smaller deals throughout the course of the year? And also if we get into share repurchases, does this change your target leverage going forward if that becomes a higher mix shift there?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. Well, I'm not sure that what you see under contract today is going to be representative of what comes down the pipe the rest of the year. We just don't know. I mean this happens to be a number of smaller transactions, which we like. That's how we built the company. So if the rest of the year goes that way, we won't be disappointed. And we believe that they'll be plenty to hit the 5% to 10% portfolio growth numbers. And on your second question, the answer depends on how much of our investible capital we actually do direct towards stock repurchases. If it becomes 100%, which I don't ever think it will, that probably would cause us to think about reducing our leverage targets a little bit.
Armintas Sinkevicius - Morgan Stanley & Co. LLC: Okay. And just one more to follow up. The AWS auction, now that it's over, you could see some of the carriers sort of sitting around to say before deploying capital to certain areas. Now that they have spectrum in certain markets and decide to build in others; for instance, Verizon getting spectrum in Los Angeles but not New York. Have you seen the conversation change or is it a bit too early there?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Too early.
Armintas Sinkevicius - Morgan Stanley & Co. LLC: Okay. Thank you so much.
Operator: All right. And next we will go to the line of Amir Rozwadowski with Barclays. Please go ahead.
Amir Rozwadowski - Barclays Capital, Inc.: Thank you very much. From my side, just talking about the AT&T. I was wondering what your thoughts are in terms of the longer-term activity levels (41:33) certainly, we've seen sort of a noted, sort of tempering of investment for the carrier. But given what you've seen in terms of activity at other carriers and sort of the competitive landscape as well as the AWS auction do we expect these levels to be sort of the new level set for the carrier? Or is there expectation that at some point in time, some of that spending may have to come back?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. We've been doing this for a long time, Amir. We've seen, while over the years, there's always been a strong level of activity, when you dig in by carrier, it's very up and down year-to-year. So what we're seeing here is something we've seen many times over the years. I think AT&T happens to have a lot of different uses for its cash today. And I mean I take great comfort in the fact that they were the high bidder on the AWS-3 auction. That has to be deployed, has to be equipment put on towers to handle that type of new spectrum. So I mean we view this as very temporary.
Amir Rozwadowski - Barclays Capital, Inc.: Excellent. And then one follow-up question, if I may. Obviously, we've seen both the other listed companies in the sector sort of pursue restructure. Any sort of update on your thought process if and when that could be something that you folks would be willing to participate in?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Restructure into a REIT?
Amir Rozwadowski - Barclays Capital, Inc.: Yes. Pardon me.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Yeah. Well that's something that we do intend on doing at some point. We think it's in our shareholders' best interests. Today, we're readying ourselves to be able to do that sooner, if we decided to do that, as we watch for any potential changes in the legislative arena. But putting those aside, we're still probably several years away from when we would otherwise elect that status, given the size of our current NOL balances.
Amir Rozwadowski - Barclays Capital, Inc.: Excellent. Thanks very much for the incremental color.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Sure.
Operator: All right. And we have a follow-up from Michael Bowen with Pacific Crest. Please go ahead.
Michael G. Bowen - Pacific Crest Securities LLC: Yeah, guys. Thanks for squeezing me in. And I'm sorry if you covered this or – but I want to just get a little bit of your thoughts on, can you share with us some of your revenue growth rates in 2014 and also your outlook, splitting that between international versus domestic, if you could?
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Sure, Michael. In 2014, our average growth rate throughout the year was approximately 13%, 13.5%, in that range. That's again a gross before churn and before FX growth rate. So in terms of our 2015 guidance, the domestic growth will be approximately 9%, in the same range as the overall. But we would expect the international to be higher at approximately 13%.
Michael G. Bowen - Pacific Crest Securities LLC: Okay. Great. Thanks a lot for the follow-up.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: Sure.
Jeffrey A. Stoops - President, Chief Executive Officer & Director: We appreciate everybody joining us today and we look forward to speaking with you next quarter. Thank you.
Operator: Ladies and gentlemen, this conference will be available for replay after 12:30 p.m. Eastern today until March 15, 2015 at midnight. You may access the AT&T replay system at any time by dialing 1-800-475-6701 and entering the access code 351210. That does conclude our conference for today. Thank you for your participation. You may now disconnect.